Operator: Good day, ladies and gentlemen, and welcome to the Kratos Defense & Security Solutions First Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, we will host a question-and-answer session and our instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. It is now my pleasure to hand the conference over to Ms. Marie Mendoza, Vice President and General Counsel. Ma’am, the floor is yours.
Marie Mendoza: Thank you. Good afternoon, everyone, and thank you for joining us for the Kratos Defense & Security Solutions first quarter 2017 conference call. With me today is Eric DeMarco, Kratos’ President and Chief Executive Officer; and Deanna Lund, Kratos’ Executive Vice President and Chief Financial Officer. Before we begin the substance of today’s call, I’d like everyone to please take note of the Safe Harbor paragraph that is included at the end of today’s press release. This paragraph emphasizes the major uncertainties and risks inherent in the forward-looking statements we will make this afternoon. Please keep these uncertainties and risks in mind as we discuss future strategic initiatives, potential market opportunities, operational outlook and financial guidance during today’s call. Today’s call will also include a discussion of non-GAAP financial measures, as that term is defined in Regulation G. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, at the end of today’s press release, we have provided a reconciliation of these non-GAAP financial measures to the company’s financial results prepared in accordance with GAAP. With that, I will now turn the call over to Eric DeMarco.
Eric DeMarco: Thank you, Marie. Kratos’ began 2017, right where we left off at the end of 2016, with strong financial performance. Deanna will speak to Kratos’ first quarter financial results in her prepared remarks. In Q1, Kratos’ satellite communications, cyber security, technology and training division, once again was the operational, financial and execution performance jewel of the company, which we expect to continue throughout 2017. This division which is Kratos’ largest had a book-to-bill ratio of 1.2 to 1.0 for fiscal 2016 and we are beginning to see the financial results from these very solid bookings, which have continued thus far into 2017. The DoD continues to expend considerable resources into securing and managing its terrestrial digital infrastructure of interconnected systems and the related challenge of securely connecting its space-based networks. The DoD and the Air Force in particular are under pressure from Congress to prepare for a potential war in space which is now being militarized by Russia and China. These are just some of the challenges and threats facing U.S. space-based assets and infrastructure which national focus and prioritization is currently providing a tailwind to Kratos’ satellite communications business. Directly related to this demand as related to satellite assured communications, Kratos’ owned and operated global satellite beam monitoring business, which we believe is the only commercially owned global system of its kind, continues a strong growth trajectory with approximate 61% growth in Q1 2017 revenues over Q1 2016, from both existing and new customers. Major satellite programs Kratos’ supports include wideband global, advanced extreme high frequency and space-based infrared among numerous others. Kratos’ customers include virtually every national security related and commercial satellite operator in the industry with Kratos’ satellite communication businesses products and solutions supporting approximately 85% of the satellites in the world space segment. Kratos’ training system business is coming off a very strong 2016 and we are forecasting an even stronger 2017. As this business has recently won a number of new very important contract awards including the KC-46 aerial tanker and the Marine common aircrew trainer. These two major program wins are just beginning and we expect their ramp to accelerate in the second half of 2017 and into 2018. We are currently in pursuit of an approximate $75 million new training system opportunity which we are hopeful of successfully receiving sole source in the third quarter of this year and the bid and proposal pipeline in this business is one of the largest in our company. Kratos’ cyber security business also continues to show considerable strength and we remain one of the leading Fed ramp requirement providers in the industry. In our Unmanned Systems division which had a book-to-bill ratio of 2.3 to 1.0 in the first quarter. Kratos is the industry leader in high performance jet powered unmanned aerial target drone systems that represent potential adversaries aircraft, missiles and other weapons systems. Kratos’ target drones are used to exercise and test U.S. and our allies weapon radar and other systems. In Q1, we received from the United States Air Force full rate production lot 13, and AFSAT program for our BQM 167 unmanned aerial target drone system, one of the highest performance unmanned aerial drone systems in the world. The quantities and associated spares ordered under Lot 13 by the Air Force were greater than we had initially anticipated. And we expect production under Lot 13 to begin to ramp up in the second half of 2017, with Q3 and Q4 being particularly strong. Later this year, we expect to begin negotiations with the Air Force on production years 2014, 2015, and 2016, and we understand that annual 167 quantities are expected to increase with these options beginning in 2018. As you know, this is sole source work as Kratos owns the data package to each of our high performance unmanned jet aircraft, including the 167. In 2016, the Air Force’s operational tempo usage of Kratos’ BQM 167 has increased and recent communications with our customers indicate that further op tempo increases are currently expected for 2017 and 2018. In Q1, we received a $5.6 million order from a government agency, for certain of our high performance jet target drone systems and we expect the opportunity with this customer to increase significantly later on this year. In Q1, we also received a $1.6 million initial contract award for a new in development high performance unmanned aerial drone system, where Kratos will initially be providing system engineering, avionics, data links and ground equipment. In the first quarter, Boeing received an additional order for 2018, QF-16 full scale on unmanned aerial drone system targets for which Kratos provides command, control and communications electronics. This is the fifth option of a multi-year program for an expected 126 QF-16 drone aircraft. We recently met with their U.S. Navy customer, on our SSAT unmanned target drone system program or BQM 177 aircraft and we are ready to begin production once the 2017 DoD budget is formalized. We expect first full year incremental revenue for production Option 1, and related ancillaries to be approximately $30 million to $40 million. We’ve also recently met with our confidential customer and we are ready and expect to begin production on this program, a few months after the 2017 DoD budget is in place. Incremental revenue in the first full year of this confidential program is expected to be approximately $15 million to $20 million. As we have mentioned previously, once production ramps up over time on the Navy SSAT and the confidential program, we expect our unmanned systems business to approximately double in size. We believe that we are now in final negotiations with the new international customer for Kratos’ high performance target drone systems, for an initial contract value of approximately $14 million. Importantly, new contract awards for Kratos’ unmanned drone systems include a substantial customer investment amount or related ground equipment, launch and recovery systems, command, control and communication gear. The substantial initial investment, vests Kratos and our customers typically into long-term strategic relationships. We are in the solicitation process with the U.S. government agency for a number of high performance unmanned aerial drone systems with current contract award expected for this competitive, solicitation in the second half of the year. This potential opportunity could be for several tens of millions of dollars. In the tactical unmanned aerial system market area, as you know the vast amount of UAV’S today are propeller aircraft designed to perform their mission with the United States owns the sky and there are no threats for example over Afghanistan, Iraq or Africa. Kratos is developing, demonstrating and flying, high performance jet unmanned aircraft that address a significant existing capability gap; the ability of the UAV to successfully perform its mission in a contested environment and survive. We believe that we are the industry leader in this high performance low cost jet UAV market area. In Q1, we learn that Kratos’ team partner Dianetics was selected to advance to DARPA Gremlins Phase II, along with General Atomics, as the program down selected from four Phase I awardees to two Phase II awardees. The DARPA Gremlins program envisions large unmanned aircraft releasing swarms of multiple jet UAV’s in the air, and then after the UAV’s performed their mission their retreat in flight by the mothership or flying aircraft carrier if you will. I can now formally disclose that of the original four Gremlins Phase I winners, Kratos was on two of the Phase I winning bids. Our own prime position and also teamed with Dianetics. Kratos’ Gremlins team to position with Dianetics was the confidential tactical opportunity I previously referred to, as we were under an NDA. We believe that Kratos being selected and included on two of the DARPA Phase I winning gremlin teams is testimony, to our being the industry leader in designing, developing, demonstrating, and rapidly fielding low cost affordable, high performance unmanned aerial drone systems. We are very excited to be advancing to Phase II with Dianetics, where Kratos will be designing, developing and producing prototype gremlin unmanned aerial vehicles. As this remains a competitive situation, we will not be providing any further information related to Gremlins. On Kratos’ contract with the Defense Innovation Unit Experimental or DIUx, we remain on schedule and on budget for a number of Kratos’ UTAP-22, UASs, now formally cop named Mako, to participate in a major military exercise in the second half of this year. We continue to work very closely with the DIUx, as well as STRATCOM and the strategic capabilities office on this initiative, including what the next steps will be after successful demonstrations, also very encouraging. Secretary of Defense, Mattis recently, publicly, reiterated his and the Trump administration support and commitment to the DIUx and the DoD innovation initiatives which Kratos is a key participant. We remain on track on our Air Force Research Lab, LCASD contract, being both on schedule and on budget which was confirmed with a very positive recent customer program review. We are tracking towards Q2, Q3, 2018 demonstration flight for this large tactical unmanned combat aerial system. And finally, we have now had initial customer meetings regarding a new, low-cost, high-performance jet unmanned aerial system, Kratos has developed, and what I will call our secret special programs group. We have had several successful demonstration flights with the government agency with this new UAV, which in my opinion is our most capable aircraft developed to-date. In summary, Kratos’ unmanned systems business is performing very well. Our core targets drone business is now entering a multi-year period of expected significant growth and we continue to make progress in the tactical UCAS aerial where Kratos’ low-cost, high-performance UAVs. Kratos’ microwave electronics business had an outstanding first quarter, including a book-to-bill ratio of approximately 1.9 to 1.0. Our microwave business now has a record backlog of approximately $90 million on which we expect a delivery ramp to begin in Q2 and continued through the end of 2017 with Q4 looking particularly strong. Additionally, in Q1, we received some very good news. With India announcing a $1.6 billion deal with Israeli aerospace industries, for Barak-8 missile systems, an advanced medium and long range missile and air defense system. We understand that this initial order will include 600 Barak-8 missiles and Kratos’ content per missile is approximately $35,000. We expect that Kratos will begin deliveries of our Barak-8 products in 2018 which include solid state power amplifiers, frequency up converters and the RF front end. Also on our microwave electronics business, we expect to receive an order later on this year on the Gripen fighter program, where we support the electronic warfare system. Kratos’ content per Gripen aircraft is approximately $200,000 to $250,000 per plane with initial quantities currently being estimated at approximately 100. As I indicated before, at this time the production and delivery schedules for our microwave electronic business indicate a strong Q3 and a very strong Q4, similar to 2016 with the potential growth step function in 2018 as a number of these new programs for Kratos enter in ramp production. In Q1, we also saw strength in other areas of Kratos’s business, including ballistic missile defense, where Kratos advanced medium range ballistic missile target, successfully supported a Standard Missile 3 Intercept test. Kratos is an industry leader in providing ballistic missile target systems to test missile defense and radar systems and we are key strategic partner to the Missile Defense Agency and to the United States Navy. We have a number of additional BMD related target missions scheduled for 2017, and we are in pursuit of a very large opportunity in this area, potentially several tens of millions of dollars, which we are hopeful of receiving in the second half of 2017. Kratos is also a major equipment provider for the Terminal High Altitude Area Defense or THAAD missile defense system, a number of which are currently being deployed to South Korea. We believe that the current global ballistic missile threat environment including as related to North Korea and Iran is contributing to the strength in our missile defense related business areas. Recently the U.S. Army awarded a $1.6 billion contract to an OEM for a counter fire target acquisition radar systems which Kratos products and system support. Accordingly, we are hopeful of receiving a multimillion dollar order related to the system in the next several months. We are also expecting equipment orders this year totaling tens of millions of dollars in support of an over the horizon radar program, a high altitude electromagnetic pulse protected, electronic equipment system for a certain combat system and for dozens of command control and communication units. All of this activity we believe is related to the recapitalization of U.S. strategic systems to address peer and near peer threats which is just beginning. Kratos’ public safety and security business, financial performance improved in Q1 and we expect financial performance and profitability to increase throughout 2017, as we wind down the last few lower margin large MTA deployments which we have not bid on since the end of 2015 and higher margin programs replace this work. We expect to be substantially complete with these lower margin programs in the third quarter of this year. Bid gross margins on KBSS security system deployment contracts, we have received over the past 15 months have approximated 30% and we are expecting a particularly strong Q3 and Q4 from our PSS business based on current backlog in the bid pipeline. For 2017, we expect Kratos’ legacy government service business to continue to contract as a result of the continued low price technically acceptable or LPTA contract award environment and as we deemphasized this product area and focus on our specialized and differentiated product businesses. In summary, Kratos’ primary markets continue to improve with defense spending increasing across the globe, driven by the increased threat and risk environment. The company is successfully executing its business plan and we feel very good about the growth trajectory for the business and ultimately achieving our base business model of $800 million in revenue and $80 million adjusted EBITDA. Also importantly, every Kratos business unit is expected to be operating cash flow positive in 2017, except unmanned systems or as you know we are making major investments in our tactical UAS initiative and primarily LCASD, where Kratos will own intellectual property and data package rights. We expect the majority of our tactical unmanned investments to be complete by the end of 2017, and we expect every Kratos business unit to be cash flow positive in 2018. Additionally, with our investments in the LCASD UAV being substantially completed by the end of this year, the commencement of SSAT in the confidential programs production and expected to continue growth in Kratos’ satellite communications, microwave products, cyber security and training businesses, we are expecting significant revenue profitability and free cash flow increases in 2018. Even though it appears, that we may have 2017, DoD budget imminently, we do not at this time and accordingly we will be patient, prudent and conservative until it is a done deal as related to our current 2017 financial forecast. If the 2017 defense budget is agreed to, this would be very, very good for Kratos. And once we have circled up with our customers to be certain that we fully understand the SSAT and confidential program timing, production and delivery schedules, we will be reassessing our 2017 financial guidance accordingly. Deanna?
Deanna Lund: Thank you, Eric. Good afternoon. Kratos’ first quarter 2017 revenues of $167.8 million were at the high end of our expectations of $158 million to $168 million for the quarter. Year-over-year consolidated organic revenue growth of 9.7% was driven primarily by our satellite communications, technology and training businesses, which were up 15.6% as a result of recent contract awards in these areas. Growth of 9.9% in our unmanned systems business, which also is driven by recent contract awards, and 21.9% in our public safety and security business driven by security system and related communication equipment, integration under a security system deployment program for a mass transportation authority. Our Q1 adjusted EBITDA of $10.6 million exceeded our forecast of $6 million to $8 million due to stronger than expected performance across each of our business units within our Kratos Government Solutions or KGS business segment, with a favorable mix of higher margin work in our satellite communications, technology, training and cyber related businesses and new awards in our modular systems business. Our adjusted EBITDA for the first quarter is from continuing operations and excludes the following charges which have been reflected as adjustment consistent with our prior presentations since we either believe the items are non-operational, non-recurring in nature or meaningful for investors to understand our financial performance. Restructuring related items and other of $1.2 million, which includes $700,000 of related severance and terminated employee related costs; also excluded from our adjusted EBITDA is $500,000 representing excess overhead capacity in our Unmanned Systems division. As production is expected to ramp up when we enter into low rate initial production on SSAT and the confidential program later this year, we expect the excess overhead capacity to decrease. On a GAAP basis, net loss for the first quarter was $10 million, which included the restructuring related items and other; $2.7 million of expense related to amortization of intangible assets, non-cash stock compensation expense of $2.1 million in loss of $2.1 million on extinguishment of debt we retired during the quarter, and $1.5 million tax provision. On a last 12 months or LTM basis for the period ended March 26, 2017, revenues were $683.5 with LTM adjusted EBITDA with the same period of $51 million. We believe this is a good indicator that we are on path for our 2017 annual guidance of revenues of $700 million to $720 million and adjusted EBITDA of $52 million to $54 million. Moving to the balance sheet and liquidity, our cash balance was $73.4 million at March 26, plus $500,000 in restricted cash. We had zero amount outstanding on our bank line of credit and 10.1 million of letters of credit outstanding. Cash flow from continuing operations for the first quarter was a use of $8.7 million which includes approximately $2 million of internal development costs related to the LCASD program and net working capital requirements of $6.7 million, primarily related to the build of inventory in anticipation of future scheduled product deliveries. Capital expenditures of $5.2 million were primarily related to investments we are making in our satellite communications and Unmanned Systems businesses. DSOs increased to a 124 days at the end of the first quarter compared to the end of the fourth quarter of 115 days. Our DSOs continued to be impacted by milestones payments on long-term delivery projects where we are unable to contractually invoice for amounts until the completion of certain milestones and/or the final delivery of projects or the demonstration of certain flight parameters specifically in our Unmanned Systems segment. We expect certain of these milestones to be achieved in the second and third quarters of 2017. In addition, we have a number of billing milestone payments that are expected to be paid upon completion of the large critical infrastructure projects that are expected to be completed in the third and fourth quarters of 2017. During the first quarter of 2017, we completed an equity offering generating net proceeds of $81.9 million, after underwriting expenses. Consistent with the company’s stated use of proceeds raised in the equity offering, cash of approximately $64 million was utilized during the first quarter to retire $62.7 million of the company’s Senior Notes, bringing the total amount outstanding of total debt at March 26 to $374.3 million. The company’s cash balance at March 26 was $73.4 million, yielding a total net debt position at the end of the first quarter of $300.9 million. The net leverage as of March 26 was 5.9 times computed with the LTM adjusted EBITDA of $51 million. Over the last two fiscal quarters, the company has retired $77.2 million of the company’s Senior Notes, reducing the company’s annual cash interest payments by approximately $5.4 million. Our contract mix for the year was 86% of revenues generated from fixed price contracts, 9% from cost-plus-fixed-fee contracts and 5% generated from time and materials contracts. Revenues generated from contracts with the federal government were approximately 57% including revenues generated from contracts with the DoD and with non-DoD federal government agencies. We also generated 11% of our revenues from state and local government, 23% from commercial customers and 9% from foreign customers with our aggregate non-DoD revenues comprising 43% of our total revenues. Backlog at first quarter end was $878 million with $616 million funded and $262 million unfunded. This compares to backlog at fourth quarter end of $900 million with $626 million funded and $274 million unfunded. Kratos’ book-to-bill ratio was 0.9 to 1.0 for both the first quarter of 2017 and 1.1 to 1.0 for the 12 months ended March 26, 2017. We are reaffirming our full year 2017 guidance for revenues of $700 million to $720 million and adjusted EBITDA of $52 million to $54 million with 2017 sequential quarterly trajectory similar to 2016. We are also providing second quarter 2017 guidance for revenues of $170 million to $176 million and adjusted EBITDA of $8 million to $12 million. Typically, our third quarters and fourth quarters have been our strongest from a top line and margin perspective since the third quarter is the end of the government fiscal year-end and many customers have prone to spend the fund they have before they expire, with shipments and orders occurring in the third and fourth quarters. This trajectory also reflects the estimated shipments based on customer deliverable requirements. Specifically in our unmanned systems business, we expect the second half of 2017 revenue and EBITDA to be significantly higher than the first half of the year, primarily due to execution on certain new target drone programs we were awarded in 2016 and the first quarter of 2017. Also driving expected growth in the second half of 2017 is the beginning of low rate initial production on the large navy and confidential programs, once a DoD 2017 budget is in place assuming that the 2017 DoD budget is agreed to. We also expected in the first half of 2017, revenue and EBITDA in our Unmanned Systems business will be down from the second half of 2016 due to the level of shipments and production that was completed on certain of our target programs in 2016 as compared to that expected in the first half of 2017. We are updating our free cash guidance for 2017 from a use of $26 million to $31 million to a use of $23 million to $28 million, reflecting the decrease in cash interest expense of approximately $3.2 million for the $62.7 million of Senior Notes we retried in March. Estimated cash taxes for 2017 are $3 million to $4 million and an increase of working capital uses to fund the near term expected top line growth including the estimated cash spend on the LCASD investment that is not capital expenditure related, less the total estimated capital expenditures. As a remainder, from the cash flow perspective we expect our total CapEx to be in the range of $28 million to $33 million for 2017 with approximately $18 million to $23 million related to our unmanned aerial systems business, which we believe will provide the foundation for the 2x growth we are anticipating for this business over the next two years. The balance of the capital expenditures is expected to be in our satellite communications and training and electronic products businesses to fund growth initiatives in both of these businesses. We expect our operating cash flows will be impacted by estimated investments of $7 million to $10 million we plan to make to develop the LCASD platform to maintain the intellectual property that are not included in capital expenditures. As a remainder, the total estimated investment that is not related to capital which accrued as a forward loss accrual in the third quarter of 2016 when we were awarded the contract. In summary, our estimated cash investment for the Unmanned Systems business in 2017 including the LCASD capital and other development costs is $25 million to $33 million or substantially all of the free cash flow use we are estimating for the corporation for the year. We expect that these investments for unmanned tactical initiative will be substantially complete in 2017 and that we will return to free cash flow generation in 2018.
Eric DeMarco: Thank you, Deanna. We will now turn it over to the moderator for questions.
Operator: Thank you, sir. [Operator Instructions] Our first question will now come from the line of Mike Crawford with B. Riley & Company. Please proceed.
Mike Crawford: Thank you. Somewhat quick ones on the Unmanned Systems and then one on the budget. First, you talked about a 2.3 to 1.0 book-to-bill in Unmanned Systems segment, so that implies about $36 million of bookings in the quarter. Can you break that out in any matter?
Eric DeMarco: The biggest part of that Mike was Option 13 on AFSAT with the Air Force. And then there was the $5.6 million one with the government agency we are unable to disclose at this time, and then there was the $1.6 million one on the brand new – it’s a brand new airplane and we’ve got the initial contract for the aspects I mentioned. Those were the primary pieces.
Mike Crawford: Okay. Thank you, Eric. Is that very new airplane or the same one that you call the world-class secret special programs group developed?
Eric DeMarco: No, no.
Mike Crawford: No? That’s different?
Eric DeMarco: Yes, this one is brand new. The other one is flying.
Mike Crawford: Okay. So that was my second question was going to be on the secret one. You’re also saying that your investments in proprietary combat systems will be substantially done in 2017, and that includes this aircraft as well?
Eric DeMarco: Absolutely.
Mike Crawford: And that’s in conjunction with some kind of formal RFP or is that outside of a program or record or how is that being done?
Eric DeMarco: I’m not going to get into it.
Mike Crawford: Okay. And then last one is on spirals outcast, potentially 20 million spirals.
Eric DeMarco: Yes, we’ve received two to-date.
Mike Crawford: Okay, that’s great. Then finally, in your 10-Q, very up to date language on the budget including the fact that the past passed budget bill, the Senate today approved the bill is required to be signed by the President today that you say you’re going to be, prudent on guidance until the budgets in place. So if we get a budget tomorrow does that mean that we would see different guidance or you intend to wait three more months until you change guidance?
Eric DeMarco: No. As I’ve said, Mike, we will – if President signs it, our plan is to post a system is to communicate with our customers on how quickly these options that we have, on the contract that we have will be exercised. Once they’re exorcised what the production schedule under those options will look like and most importantly what the delivery schedule will look like. We’ve got – we’re going to have a lot of wood to chop because obviously we have a six-month CRA between now and the end of our calendar year and we just want to make sure that we understand all those parameters and what work we can get done between contract execution in the end of 2017.
Mike Crawford: Okay, thank you very much.
Eric DeMarco: Yes, sir.
Operator: Thank you. Our next question will come from the line of Ken Herbert with Canaccord. Please proceed.
Ken Herbert: Hi. Good morning, Eric or good evening, Eric and Deanna.
Eric DeMarco: Good morning.
Deanna Lund: Good morning.
Ken Herbert: Say, I just wanted to first – LCASD, I know obviously you’re on track for the test flight, I think you said second to third quarter or mid next year. Can you just provide an update on how that schedule is going and have there been any changes either positive or negative to the schedule in the last three months?
Eric DeMarco: There have been no changes positive or negative to the schedule. However, in the last three months, as I mentioned in the prepared remarks, we had a program review very detailed multiple days with the customer, and it went very, very, very, very well. And we are more excited than we’ve been since we were awarded this contract on what the potential will be for this aircraft once we demonstrate it and get it flying.
Ken Herbert: Okay. And at the risk of getting too far ahead of ourselves on this one, assuming a positive flight tests next year, what might be the next steps or what should we look for in terms of next steps or major milestones on that particular program?
Eric DeMarco: Ken, I’m going to agree with you, and I’m not going to get too far ahead of myself on this one; God willing, it’s tracking, we are on track and things are looking good. And as we get closer I’ll talk about that, but it’s too soon.
Ken Herbert: Okay, I can appreciate that. But let me try again similar question but on UTAP-22 and the Mako program. Obviously, you’ve got a major exercise coming up here, sounds like later on this calendar year. Assuming that goes well, what might be the outcome we should expect either in terms of milestones or sort of the next hurdles or gates on that particular program that would move through?
Eric DeMarco: The DIUx’s charter is within 24 months of contract award to begin fielding units that have been successfully demonstrated to the field. We received this contract award at September 30, 2016. I am extremely comfortable that we are tracking to the DIUx’s strategy and their charter. And I – once we are successfully demonstrate what we’re going to be doing with the sensors at this exercise, the next steps are either going to be another exercise that’s already being looked at with the potential that maybe we will – we can we sell some airplanes.
Ken Herbert: Okay, okay.
Eric DeMarco: I don’t want to get ahead of them. I don’t want to get ahead of us or Raj Shah at the DIUx.
Ken Herbert: Yes. Okay. No, that’s fair enough. And then just finally you obviously had a really nice – assets came through. It sounds like SSAT is on track. Is SSAT that’s really about getting the fiscal 2017 budget in place and obviously coming out from under the CR? And when should we look for the next major milestone on the SSAT program?
Eric DeMarco: So I met with the Admiral very, very recently. And the plan is within 60 days to 75 days after we have a budget that our contract option is exercised. And we have already ordered long leads. We’ve gone ahead on this. We’ve ordered the engine; we’ve ordered a significant amount of composites. I believe we’ve also ordered some of the avionics and electronics. So we’ve primed the pump, we’ve got it ready. And so the next data points will be is exercise the contract, the option, and begin production. And as I mentioned, I believe that’s going to happen within 75 days.
Ken Herbert: Okay, that’s great. And just finally really nice to see the step-up obviously in the free cash guidance for 2017. I know you’ve said several times that the vast majority of the investment is to support the growth, largely are done – it sounds like this year. Is there any risk either if with any of these new programs that where the schedules could change that you could see some of this investment spill into 2018 or we could see any sort of incremental investments in 2018 or is it really leaves with what you’ve identified now that you’re pretty well scoped for completing most of that investment if not all in 2017?
Eric DeMarco: Okay. So as we sit here today, I do not see any additional incremental investments at all. We’re funded now on every program except on the cost share on LCASD for the data rights. As Deanna said, we expect to be substantially complete with that by the end of 2017, yet it is possible that some of that could go into Q1 of 2018, that’s possible. But as of right now I do not see that being material if it were to happen. And so back to what we said in our prepared remarks, we don’t envision any material if at all, discretionary investments in 2018. And we envision getting back to every business unit will be cash flow positive, they all are now obviously, except unmanned. And we expect significant cash flow generation from unmanned in 2018 from delivery of AFSATs, from delivery of a certain customer we’re delivering on that I haven’t been able to disclose yet, delivering SSATs to the Navy and delivering to the confidential.
Ken Herbert: Excellent. Nice quarter and thank you very much.
Eric DeMarco: Yes, sir.
Operator: Thank you. Our next question will come from the line of Michael Ciarmoli with SunTrust. Please proceed.
Les Sulowski: Good evening. It’s actually Les in for Mike.
Eric DeMarco: Hi, Les.
Les Sulowski: Hi. On the public safety, can you talk about some of the growth drivers and sustainability in that segment? And also why that the drag on margins, essentially gives us a little more color of what’s happening here.
Eric DeMarco: Yes. So let’s talk about the growth drivers first because I like to talk about those. The number of security deployment opportunities continues to increase; and the verticals that it’s increasing for us are energy. So I think pipelines and refineries, education, schools, from grade school up to colleges are deploying significant amounts of security systems on their campuses right now. Healthcare, healthcare is ripen right now for us; and certain metro transportation, think of buses and trains. Those are the growth drivers right now where we have been booking for the past 15 months as I mentioned the work over 30%. The margin drag that we’ve had that is coming off is we are finishing up four very large security system deployments, underground for the most part for a massive mass transit authority. And we are going to have – I believe we’re getting two of them done in Q2 and the other two are done in Q3 and then we’re done tied with those are several millions of dollars of receivables, we’re going to collect the retentions to wrap them up. And so we’ve taken some reserves on these as we finish these up to make sure that we bring these in this year without any more losses or I should say margin degradation, is probably the better way to say it. So that has been the drag and that’s why we’re so confident that the margins there are going to be turning around because as those low or no margin deployments finish, they are being replaced by very high margin deployments that we’ve been booking for the past 15 months.
Les Sulowski: Got it, thank you on that color. A little bit further on the budget I guess, is there quantifiable upside risk to your guidance regarding to the budget passing assets? And also any thoughts on the $15 billion shortfall from the initial proposal?
Eric DeMarco: Right. There is absolute upside to us for budget getting signed, whether the budget was equal to last year’s budget or where it is this year, including the $18 billion supplemental and the total budget obviously being $598 billion including BOCL. There is potential upside to us. If the budget was not signed, as you know, we have two programs that we’re dependent on that that happening. So that’s why we’re being cautious here. I know as you mentioned the Senate signed it today, is going to the President. I just hope the President signs it tomorrow or the next day and we’re off and running.
Les Sulowski: Great. Thank you, guys.
Eric DeMarco: You got it.
Operator: Thank you. Our next question will come from the line of Mark Jordan with Noble Capital Markets. Please proceed.
Mark Jordan: Good afternoon. [indiscernible] what percent of that $30 million to $40 million which you expect in the first release could be realized as revenues this year? And secondly, what is the 2018 expectation from production on that one?
Eric DeMarco: Right. And so Mark, right now we’re envisioning say $15 million to $16 million, $15 million to $18 million in this year. But this is why we’re being cautious on not taking guidance up at this time, because we want to make sure that we get the contract, we understand it all, because we’ve been at holding pattern under the CRA because as you know no new contract starts. So let’s say it’s a – thus we make round numbers easy. Whereas let’s say it’s $15 million, let’s say the number is $35 million, that means that $20 million would move over into 2018. Right now the fiscal 2018 by is looking like that number all in could be $50 million to $55 million. Part of that; the moment assuming we have a budget – 2018 budget, let’s say in January or February of 2018. The majority of that would fall in 2018 along with the $20 million of 2017’s that we didn’t generate in 2017. And then we would head into full rate production in 2019.
Mark Jordan: All right. [indiscernible] extended CR next year since you already have been initiated this year, you allowed to continue at fiscal 2017 rate?
Eric DeMarco: Absolutely. Yes, sir. Yes, absolutely.
Mark Jordan: Okay. Second question relative to Lot 13, you’re talking about op tempo. Could you quantify what the 13 level versus what you saw in the prior couple of years and what are the implications for 14, 15 and 16?
Eric DeMarco: Right. So the past few years the quantity has been $20 million to $21 million per year. It went to $25 million this year. And I don’t want to get ahead of the customer, but for 2018 and 2019 they’re looking at quite a bit more than $25 million.
Mark Jordan: Okay. Question on the microwave business, given the programs that are starting and you’re talking about step function. Does this business which was $55 million last year, could that be like in 2018 run rate that could be doubled what you did in 2016?
Eric DeMarco: No, no, no, because these would be ramps. It has productions and then deliveries and the vast majority of what we do want in our microwave electronics business Mark we book on deliveries not on percent complete. And so I don’t want to give 2018 guidance right now, but our full anticipation as we head to the end of this year and we’re turned on on these and we have the build plans and most importantly the delivery plans we’re definitely going to – we’re going to signal that, and then obviously we’ll in-cooperate that. But I don’t want to get ahead, but if you are the numbers, $35,000 per Barak-8, we’ve got 600. $200,000 to $250,000 per Gripen, there’s 100 under order right now. You saw last week Belgium has said they’re going to go with the Gripen, they’ve said that. They’ve been – the Gripen has been down selected in India, it’s down to two planes, it’s the Gripen and the M16. The initial quantity is 200 Gripens there. So we are – and we’re designed in sole source. So we’re feeling pretty good about this program near- and mid-term.
Mark Jordan: Okay. Final question, Deanna, should efficient quarters’ share base be about 86.5 million shares?
Deanna Lund: Yes, that’s correct.
Mark Jordan: Thank you. And I apologize for my voice.
Eric DeMarco: No problem, Mark. Thank you.
Deanna Lund: Hope you feel better.
Operator: Thank you. Our next question will come from the line of Eric Selle with SunTrust. Please proceed.
Eric Selle: Eric, you’re making me looking smart. That’s hard work. If you guys [indiscernible] on the quarter, man, it’s very solid all across the board. I want to dovetail on some of the questions on PSS. You guys obviously didn’t want a job fixing it, you refined it, you focused it and we’re seeing the results and awesome work with your whole team. As you look at this because we’ve you’ve had different feelings on this, is this a fixating keep and is this fixated itself?
Eric DeMarco: We are going to this year increase and refine our focus on our core businesses, which is unmanned systems, satellite communications, microwave, electronics. And I got to tell you training, Eric, it’s ripen. it’s just ripen. And this has to do with readiness and the money that’s pouring into readiness. I don’t want to specifically address selling businesses, any businesses, I don’t think that’s appropriate. But we are going to focus on the core.
Eric Selle: That’s great. And the second question is I mean because when you put out good results, I don’t really have any questions, you leave us flagged. But your CapEx jumped a little bit. Is that going to be sustained at that level for the year I mean I guess it’s a high-class problem, you’re on a lot of these programs, you’re going to have to spend the money. But $5 million on a quarterly basis is a pretty big jump. Is that sustainable or will it taper off towards the end of the year?
Deanna Lund: It will actually increase. I don’t know if you heard all the prepared remarks, Eric, but the CapEx that we’re forecasting for the year is $28 million to $33 million. So there will be substantial increases from that $5 million run rate in Q1. That’s primarily all related to – a significant portion is related to unmanned systems initiative specifically on LCASD where it’s approximately $15 million to $19 million of CapEx that we’re building our own capital targets – two targets as two aircraft as well as ground support equipment. And then the balance of the CapEx is related to investments we’re making in our satellite communications business. So it will continue at that level and actually increase.
Eric Selle: I am sorry I missed that out. I was probably muted.
Deanna Lund: No problem.
Eric Selle: I’ll do my victory lap. So I apologize about that.
Deanna Lund: No problem. No problem.
Eric Selle: Have a great day and I really appreciate your time.
Deanna Lund: Thank you.
Eric DeMarco: Thanks Eric.
Operator: Thank you. Our next question will come from the line of Josh Sullivan with Seaport Global. Please proceed.
Josh Sullivan: Hi. Good afternoon.
Deanna Lund: Good afternoon.
Eric DeMarco: Good afternoon.
Josh Sullivan: Can you just expand on some of the investments you’re making in satellite training? I think you obviously had some nice wins recently. And I think you just mentioned training is ripping. What kind of technologies or opportunities are you investing in those segments?
Eric DeMarco: Without getting into specific companies that were partnered with a lot of it has to do with virtual reality and the operators being inside the systems and with their helmets on they are seeing virtual reality of the same mission that, what’s going on going on, but when they looked around them, inside the system, lets say, they have two other operators next to them. The virtual-reality goes away and that cut way into the system. And so now they’re inside the helicopter or they are inside the airplane or they are inside the tank. And they can see real, real – reality what right next to them. They turn their head back and it switches back over to virtual-reality in the text that are coming at them. And so we’re making a significant investment in that virtual reality and the algorithms related to it.
Josh Sullivan: Have you had program when its associated with that?
Eric DeMarco: Yes. Absolutely.
Josh Sullivan: I guess, just one switching over to the drones. On the international customers that you mentioned, I think you said activity was conducive to a long term relationship. Is there any way to quantify their potential long-term needs, maybe how many drones they currently use or potentially would need on an annual basis?
Eric DeMarco: Absolutely. So currently they are using no drones that represent 4 or 4.5 generation threats. So think of 4.5 generation fighter aircraft or 4.5 generation or fourth generation cruise missile. They are not using them. This country they have developed and then about the field and number of new weapon systems, including surface-to-air missile systems and air-to-air missile systems. So they want to exercise these new weapon systems that they have diligently [ph] developed against the highest performance unmanned target drones in the world, which are ours. So to think of the launch equipment, the ground equipment, the command and control equipment the equipment to clear the range of electronic of course maintain clearance on the range. All of that equipment goes in and it’s all custom-designed for our target drones. And so one SSAT investment they have made is and what we have seen. I’m not aware of any customer that has switched to any other competitive drone system, once they have made that investment and they have flown our drones. We are going to be looking at this in addition to the initial buy, every 1 or 2 years depending on shoot downs several millions of dollars, additional every year or two or to replenish their drone inventory
Josh Sullivan: Okay, thank you.
Operator: Thank you. [Operator Instructions] Our next question will come from Sheila Kahyaoglu with Jefferies. Please proceed.
Sheila Kahyaoglu: Hey guys, thank you for the time. I’m just if you do that is, okay. I know the microwave backlog was up in the quarter. And I just wondering if you give the growth rate for that business as well as may be depends on market for that segment , if you can? I don’t know if you mentioned it earlier?
Eric DeMarco: We don’t break them out because they’re part of our government solutions segment. And so we have not broken – we haven’t broken out, but that trailing to what Mr Jordan asked as he said that he rightfully said that in 2016 the microwave electronics business was $55 million and he said what do you expect that to happen and I said it expects that to assuming we actually get these production awards on these platforms that have been awarded. We expect that to do a growth function going forward. And in the second half of this year, once you get those awards God willing, we will give specifics on that growth.
Sheila Kahyaoglu: Okay. And then in term of the PSS business, I know you mentioned you’re working on or majors of system deployment. How do think about our return to profitability, which you expect that in 2017?
Eric DeMarco: I’m fully expecting a return to profitability in Q2. And I’m expecting that profitability to increase significantly second half of 2018 or 2017 over first half of 2016.
Sheila Kahyaoglu: Okay.
Eric DeMarco: So, I’m expecting full clean profitability in Q2 and that increasing into the second half.
Sheila Kahyaoglu: And is that sort of revenue run rate we should consider going forward for that business?
Eric DeMarco: Yes. I would use that number and here is why. Because those 4 programs are rolling of Q1, Q2, Q2 and Q3, so revenues going to come off from those say $5 million or so. And is going to be backfilled by higher margin revenue. So right now net-net level will think flat, but actually there’s some growth in there because those ones are falling off.
Sheila Kahyaoglu: Okay, that make sense. And then just in terms of taking on profitability for the overall business gross margins were up over I think 300 basis points in the quarter versus last year Q1 2016. Just thinking about the mix what drove that was that like government systems
Deanna Lund: Yes, it was primary and so government systems clearly. Organic revenue growth of over 6% I think I’ve mentioned that the overall financial performance was above our expectations across the board in each of the KGS segment. So it was but the revenue growth and the favorable mix on certain of the areas as well.
Sheila Kahyaoglu: Okay. Thank you, Deanna. And then Eric, one more for you, if you don’t mind with macro, what is the first like expectations, is that when is that or the demonstration by far in the second half with the first line also being the second half?
Eric DeMarco: Right. So it’s that like shark. I understand that I understand it’s a killer shark, it’s a killer UAV. Yeas it’s the expectation, Sheila it would be a series of flights by a number of our aircraft and there are currently scheduled for the third quarter. And they would occur over the period of a week to 10 days. And they’re going to be specifically related to a loyal wing man. Type of scenario, with manned aircraft and ground systems and other systems taking control of them than sending them out, on a controlled a semi autonomous in an autonomous mission with very sophisticated sensor and other packages integrated into the UAVs
Sheila Kahyaoglu: Got it, okay. And this is the last one actually I promise. In terms of profitability of that business would it you also as you see as step up in revenue do you see step up in profitability in the second half?
Eric DeMarco: Yes, absolutely.
Sheila Kahyaoglu: Okay, thank you very much.
Eric DeMarco: You got it.
Operator: Thank you. There are no further questions. So now it’s a pleasure to hand the conference back Mr. Eric DeMarco, President and Chief Executive Officer for closing comments and remarks. Sir?
Eric DeMarco: Thank you all for joining us this afternoon, and we will be circling up with you. And in July early August for Q2 call. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and you may all disconnect. Everybody have a wonderful day.